Operator: Good morning, everyone, and welcome to the National Bank Holdings Corporation 2016 Fourth Quarter Earnings Call. My name is Mike and I will be your conference operator for today. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session following the presentation. As a reminder, this conference is being recorded for replay purposes. I would like to remind you that this conference call will contain forward-looking statements, including statements regarding the Company's loans and loan growth, deposits, strategic capital, potential income streams, gross margins, taxes, and non-interest expense. Actual results could differ materially from those discussed today. These forward-looking statements are subject to risks, uncertainties and other factors which are disclosed in more detail in the Company's most recent filings with the U.S. Securities and Exchange Commission. These statements speak only as of the date of this call and National Bank Holdings Corporation undertakes no obligation to update or revise these statements. It is now my pleasure to turn the call over and introduce National Bank Holdings Corporation's Chairman, President and CEO, Mr. Tim Laney.
Tim Laney: Thank you, Mike, good morning and thank you for joining National Bank Holdings' fourth quarter earnings call. I have with me, our Chief Financial Officer, Brian Lilly, and Rick Newfield, our Chief Risk Management Officer. I am pleased to report that we closed out 2016 with record earnings and record loan production of over $1 billion resulting in 18% growth in our originated loan portfolio. Equally important, we did so while adhering to in-house policies with prudently limit the amount of long exposure that we'll take with any one particular sector. Two sectors that were frequently asked about are multifamily and agriculture. At year end our multifamily loan exposure was 1% of outstanding loans and we have a 5% of capital in that sector. Agriculture exposure stood at 5% of loans outstanding and at -- that was at yearend and the maximum exposure cap on ag is 10%. Further the highest exposure loan that we have in the bank is 15% and the only sector with that limit is government lending which is virtually all investing grade and we’re currently at 11.6% in that sector. As our bankers have continued to expand relationships with our clients we've realized an 8.5% annualized growth and low cost deposits during the quarter and we’re very encouraged by the prospects we see for deposit growth during 2017. On the non-interest income front we were flat quarter over quarter and Brian just wanted to speak to the growth opportunity we see in this area in 2017. Finally, its I think very important to note that my team mates produced these results while working to produce and deliver a 14% reduction in non-interest expense compared to the prior year. On that note, I'll now turn the call over to Rick and Rick is going to take a deeper dive into our loan portfolio. Rick?
Rick Newfield: Thanks Tim and good morning everyone. Let me start by discussing overall credit metrics and transfer the fourth quarter and for the full year. For the entire non 310-30 loan portfolio inclusive of energy loans our asset party metrics showed stable to improving trends during the year. Criticized loans and classified loans decreased from year end 2015 to year end 2016, with significant reductions in criticize loans. Non-accrual loans did increase year-over-year however the ratio is relatively flat of 1.13% versus 1.08% at yearend 2015. Energy loans still impact this ratio excluding, energy non-accruals or 0.69% of non 310-30 loans. Full year net charge-offs of $21.5 million were driven by energy loan charge-offs of $19.1 million. Excluding energy losses net-charge offs for the year were 10 basis points, favorable to the 12 basis points incurred in 2015. We managed our energy loan portfolio aggressively in 2016. Total energy loan balances were down 39% from $147 million at December 31, 2015 to $9 million at December 31, 2016. The criticize ratio for energy loans has improved by 37.7% at December 31, 2015, to 40% at December 31, 2016. $77.6 million or 86% of our energy loans were pass rated. Three non-accrual loans with balances of $12.6 million remain on the books, a sub-set of five problem loans identified in 2015. There were no new adversely rated energy loans in 2016 and tow energy loans rated special mention were upgraded to pass in the fourth quarter. The asset quality of our energy portfolio is stronger as of December 31, 2016, than the prior year end. And we are well positioned to put energy royalty problems behind us. It's also noteworthy that we continue to maintain strong reserves against the energy portfolio adjust under 4% of total energy loan balances to 28% of energy non-accrual balance. Let me cover the fourth quarter of 2016 specifically. For five quarter straight commencing in the third quarter 2015, we saw decreases in classified and non-accrual loans within our long portfolio excluding energy. During the fourth quarter we moved four C&I loans from special mention to substandard ratings and also moved two existing sub-substandard accruing loans to non-accrual. This is consistent with our practice to proactively identify problem loans and move them quickly through our workout process. As executed by our special assets team. The same special assets team -- special assets leader that have cleared nearly $2 billion of acquired problem loans from our balance sheet with strong economic results. It's important to note that criticize loans which does include classified loans decreased significantly quarter-over-quarter by nearly $22 million. This reduction in pipeline for potential classified loans is an important trend and positive leading indicator for risk migration in 2017. Also noteworthy is that net charge-offs for the quarter were only $129,000 or two basis points annualized. The low charge-offs result in the provision expense of $1.3 million in the fourth quarter driven by our loan growth and down from $5.3 million in the third quarter. 30 day past dues remain well contained and only 8 basis points with immaterial past-due of 90 days or greater. As Tim said we delivered another strong quarter of loan origination to turn our $35 million [ph], an increase of 15% over fourth quarter 2015 and bring in the full year total in 2016 to $1.037 billion. Commercial loans represented 55% of the fourth quarter originations, non or occupied Commercial real estate was 11% across all property types or sectors and consumer, principally single family residential loans, was 34%. Metrics relative to granularity and quality remained consistent with prior quarters. Our outlook for asset quality is favorable as we begin 2017. As Tim mentioned we maintain discipline relative to our self-composed concentration limits across industry sector and real estate property type or sector. Non-owner occupied commercial real estate across all property types or sectors is only 18% of our total loan portfolio and only a 103% of our company's risked based capital. And no individual property type or sector exceeds 4.5% of the total loans. With respect to commercial and industrial we're well diversified across all industry sectors with most industry concentrations at 5% or less of total loans and all concentration level are well below our self-imposed limits. With energy loan problems remaining contained to few residual problem loans and the overall credit quality of our loan portfolio remaining very good, I see provision expense in 2017 covering net loan growth at about 1% of net increases in balances and covering net charge-offs in the 10-basis point to 20 basis point range. The outlook for classified and non-accrual loans is favorable for the next couple of quarters, as we work to exit or otherwise resolve those loans quickly as has been our practice. I will now turn the call over to Brian.
Brian Lilly: Thank you, Rick, and good morning everyone. As you saw in yesterday's release, we delivered a record $0.36 earnings per share with a return on tangible assets of 95 basis points. We continue to realize solid trends in loans and deposits, fee income, credit quality and expense control. We also realized a favorable tax benefit totaling 2.1 million or $0.08 per share. With the early adoption of accounting standard as ASU 2016-09, improvements to employee share based payment. Prior to this adoption, the realized tax benefits from vesting of shared based compensation awards, would have been recorded directly to capital. For the fourth quarter and going forward to tax benefit of invested shares will be accounted for as the reduction to the tax expense in the appropriate quarter. We covered a lot in the release last night, so I will focus on highlights as well as presenting our financial guidance for 2017. I'll start with the economic assumptions inherent in the 2017 guidance. Our markets have outperformed the national averages and we see nothing to disrupt this trend. With regard interest rates, the current consensus is for 325 basis point rate hikes in 2017. Given our asset sensitive balance sheet, we would benefit nicely. Reflecting a level of conservatism in our forecasting, we have only included 125 basis point moves in June. As both Tim and Rick mentioned, it is exciting to deliver on our goal of $1 billion loan originations for 2016. The quarter's origination of $275 million took the full year originations to $1.037 billion, resulting in fourth quarter annualized total loan growth of 5.4% was muted by a record high level of payments and payoffs totaling 232 million, led by some pay-offs of non-owner occupied commercial real estate loans. Even with larger payments the key loan category of commercial and industrial loans grew 11.9% annualized. In 2017 we are looking to build on the additional investments and momentum of our commercial banking teams moved past 1 billion in total funding. We are beginning 2017 with strong commercial client pipelines and project to deliver full year total loan growth of about 20% while maintaining our discipline with the credit policy regarding industry concentrations and credit exposure sides, amongst others. Turning to deposits, we had a good linked quarter average deposit annualized growth of 5.4%. This growth was led by 8.5% annualized growth in low cost transaction deposits from both our business and consumer clients. Just as noteworthy is the fact that we have consolidated 12 of our banking centers or 12% over the last 18 months, while year-over-year fourth quarter average transaction deposits increased 1.6%. Growing transaction with deposits while taking out the expense of 12% of our banking center is a real tribute to our associates. Looking to 2017, we recently reached agreements to sale four banking centers and to consolidate one more. The banking centers to be sold have approximately 100 million in total deposit with half in timed deposits and are expected to be completed in the second quarter. Even with the sale of 100 million deposits we have planned at our relationship banking model will deliver total deposit growth for the year, led by mid-single digit transaction deposit growth or keeping time deposits flat after the reduction for the banking center sales. In terms of earnings assets we're forecasting that we've reached an inflection point and we'll begin growing earning in assets, ending 2017 in a range of 4.4 billion to 4.6 billion. This growth will be driven by total loan growth and some investment portfolio reinvestment as we do see better return opportunities today. Fully tangible equivalent net interest income totaled 36.8 million with the net interest margin of 3.46%. Both came in at the high end of our guidance range that we provided last quarter due to delivering our growth plans and higher levels of 310-30 accretive income. For 2017 we are forecasting fully taxable equivalent net interest income to reach an inflection point, as interest income from loan growth will more than offset the decrease in high yield 310-30 accretion income. For the first quarter, we are carrying forward our prior quarterly guidance of fully taxable equivalent net interest income in the range of 35 million to 37 million and net interest margin in the range of 3.35% to 3.45%. For the full year of 2017 we are forecasting fully taxable equivalent net interest income most slightly over 2016, and the net interest margin to expand towards the high end of 3.35% to 3.45% range as the year unfold. Owing in part to the assumed 25 basis points Fed hike in June. As further guidance detail, we are forecasting the year-over-year net interest income increase even though we're projecting a decrease in the high yielding 310-30 accretion income from 2016s actual of 33.3 million to a forecasted 2017 range of 20 million to 22 million, with the normal trends of quarterly decreases. As usual these estimates can be higher for accelerated accretion income and lower for changes in the estimated future cash flows and timing thereof, resulting from our quarterly re-measurement process. Rick did a thorough job in addressing credit quality, taking our guidance for loan growth net charge-offs and allowance levels, the 2017 provision for loan losses is expected to be in the range of 10 million to 13 million. Non-interest income totaled $10 million and was flat with third quarter, after considering the large OREO income we recorded last quarter. We also realized a net increase of 986,000 as swap related income due to the higher yield curve, which was offset by 902,000 recorded last quarter from gains on the FDIC pre-acquisition changed off accounts. Looking to 2017 we're expecting continue growth of our bank card fees, treasury management and service charges with a with the decreases overdraft fees moderating. In combination, we're forecasting these fees to collective grow mid-single digits in 2017. Now that you know non-interest income showed several gains in 2016 totaling over 5 million including pick-ups on the final resolution of OREO income, collection of FDIC pre-acquisition charged-off loans and a large gain in the sale of a building. We're not forecasting much from these sources in 2017, but we are on pace to realize the second quarter estimated gain of 3 million on the previously mentioned banking center sales. In 2016 non-interest income totaled 40 million and we’re forecasting 2017s total non-interest income at a similar level, as we cover the larger gains in last year's result, the gain a banking centers and growth from our fee income sources. Given seasonality the forecast of the first quarter in the range of 8.5 million to 9 million. We continue to good trends in the non-interest expense as they totaled 34.4 million in the fourth quarter, increasing 1.1 million over the third as we realized lower gains on the sale of OREO. For the year expenses totaled $136 million, we’re very pleased to have delivered better than our guidance at the beginning of 2016, of a low 140s million and better than 2015 by 22 million or 13.9%. As we put our plan together for 2017, we saw opportunities to invest in revenue revenue-generating of commercial banking, small business banking and certain marketing activities. As we saw some carry over benefits from 2016's expense savings and 2017's planned actions are being reinvested. Such that we have planned total 2017's expenses to be flat with 2016's of a 136 million. Included in this amount is a net zero impact from OREO and problem loan expenses, as we plan OREO gains equal to work out expenses of 2.7 million, with a clear potential upside to the OREO gains, which we realized this year. With that said we will continue to work to identify additional opportunity to manage expense lower, creating better operating leverage. Regarding the tax rate, we are repeating prior guidance with the forecasted 2017 fully taxable equivalent tax rate in a range 29% to 31%. Capital ratios has remained strong with $60 million in excess capital at yearend using a 9% leverage ratio. After an incredibly successful buyback program these past two years, whereby we bought in 51% of shares outstanding at a weighted average price of just $20.03 per share. We are pausing [ph] today. As I mentioned our 2017 forecast calls for our earning assets to begin growing, thereby requiring capital and we will continue to look for opportunities to profitably deploy excess capital for growth. One final comment would be that we have forecasted average fully diluted shares to be in the range of 27.5 million to 28 million for 2017. You will note the dilution calculations and stock compensation shares increased and was primarily driven by the share price depreciation during the fourth quarter. Tim, that concludes my comments.
Tim Laney: Well thank you, Brian. Brian covered an incredible amount of ground so the all additional guidance I'll provider is that, we do intend to consider another dividend increase as our earnings continued strengthen. I'll simply close by thanking my teammates and our Board of Directors for their focus on health growth and their commitment to always putting our clients first. Again, thank you for joining today and Mike lets open up the line for Q&A.
Operator: [Operator Instructions] Your first question is from Gary Tenner from DA Davidson.
Gary Tenner: Just a couple of question because Brian you did cover a lot of ground here. Curious with your guidance based on the one rate hike in June. Can you give us just a sense leverage wise let's say if there was at least one more in September, what's the incremental benefit or impact of margin from that?
Brian Lilly: Gary, the way we look at that is -- as that what we disclosed is our rate shock [ph]. Think about 100 basis points move in the yield, a parallel shift in that, that'd be worth $5 million to $6 million to us on annual basis. And so, as you think about the timing of when you are hitting that you are going to impact '17, but then of course there will be carry over benefit in '18 and so that’s how we look at it.
Gary Tenner: And then just to ask about deposits again, it looked like on the interest-bearing deposit side the rates there or the yield on that bottomed, I think fourth quarter of '15, first quarter of '16. You've had a couple of quarters where they've crept up a bit, was any of that in anticipation of the branch sales or is it just competitive pricing pressure in your markets?
Brian Lilly: It's just primarily -- we have been pretty stable in our yields, our rates that we are paying on our deposit, it's just a mix [ph] shift things. We did see CDs I guess over the past couple years tick up a little bit, there was -- late last year we were putting non-incremental CD of 15-month average rate pay of about 50 bips, 55 bips, 60 bips; but that has crept up to 70 bips now and so you will see time deposits move just a little bit there. But we're feeling pretty good about where those are and certainly the benefit going forward is continuing that mix towards those low-cost transaction deposits.
Tim Laney: I agree Brian, and Gerry I would add that, the one thing we have done is, of course, we consciously over the last several years let the single CD users fall away. And we have looked at programs where we reward our clients that have more extensive relationships with slightly better pricing on some of their CDs. So, there is a relationship element there, but I think Brian really hit the more salient points.
Gary Tenner: Okay, great. And just one last quick question Brian, your outlook for 20% loan growth, was that total loan growth or just the non 310-30 loan growth?
Brian Lilly: It's the total. We are putting all pieces together there. Thankfully well, good and bad news is, the 310-30 was great while we had it, but is becoming less of an impact.
Tim Laney: It's time for it to go away.
Operator: The next question is from Matt Olney from Stephens.
Matt Olney: I want to go back to Gary's question on the loan growth, the 20% net loan growth outlook, implied a pretty good acceleration from what we saw in 2016, can you speak to the acceleration and kind of the difference what you expect to see in '17, that you didn’t seen in 2016?
Tim Laney: Look -- I would encourage Rick and Brian to jump in here as well, but I don’t think of it as unusual acceleration, as much as do, just a continuation of the trend and this move toward as we talked about running on all cylinders and we just -- I'll just remind you it wasn’t that many years ago that we were talking about $25 million, $50 million in a quarter, now we're talking about $250 million, $275 million, $300 million in a quarter. We have built our commercial banking team. We have developed better and better relationship managers. You'll actually see that we’ve made -- we’ve even stepped-up and made an investment where there were some opportunities to bring on banking teams for example, down in Texas, with a new leader there. We've just brought on frankly, a new leader here in Colorado that we're super excited about. So it's really as much as anything Matt, about that continued trend and increasing, really just increasing momentum and then finally perhaps the most important point beyond the quality of our people is the point Brian, made earlier which is, we're in solid markets and we see no indications that they're going to be backing off this year, hope that helps.
Matt Olney: That does help and can you also weave in the topic of paydown into the response? I think energy paydowns were a thorn in the side during 2016, is the guidance assuming the similar amount of paydowns or less or any kind of context there will be helpful.
Rick Newfield: Matt this is Rick, let me give you a little color on that. I wouldn’t read too much into the last couple of quarters in terms of the pay-off, paydowns. Revolving utilization took down couple of percent, 2%, 3% during that period and then the other factor. And I think Brian alluded to this is, we add some non-owner occupied commercial real estate paydowns, that, no client is taking their properties to permeant market, and yet to your point on energy, I mean we certainly did have a down draft, but we're, as I said, not only well positioned from an asset quality standpoint, but our clients that have maintained good balance sheets over the last couple of years may see some opportunity in 2017.
Brian Lilly: I may be able to give you a little bit more on that, Matt. So you think about, we delivered 11% total, well the energy did cost us upwards of three percentage points on that growth. And then when you look at the other pieces of the 310-30 and some of the purchase loans, those because they are larger portfolios they contribute more to that decrease too. So when you start to adjust for those, you start to get closer to that 20%. So we delivered this year, plus the optimism we have for the number of the associates and the experience that we brought on the commercial team and you get to that 20%.
Matt Olney: Okay, that’s all helpful. And as far as the securities book, it sounds like you are not considering growing this book which is definitely inflection versus the last few years, can you talk more about why now? Is it more the size of book, is it that you feel more comfortable? Or is it more about it's got lot more opportunities in the market right now.
Brian Lilly: Just to be clear, you'll see the investment will continue to come down through the year. But we haven’t bought a security in three years. But when the rates are moving and we see some opportunity even in our duration to put some of our deposit growth plans to work in the investment portfolio. So I'm broadcasting that we are going to grow the portfolio, we're actually going to continue to shrink the investment securities as we'll put that to work in a loan portfolio. But we will add a little bit as we go forward, in fact we've added some here in January, where rates were, not significant amount, but just given you that heads up.
Tim Laney: That the net-net will be a continued reduction.
Brian Lilly: Yes.
Operator: The next question is from Tim O'Brien from Sandler O'Neil.
Tim O'Brien: First question I have is, so you ended the year with 90.3 million in energy footings [ph]. Tim, can you talk a little bit about your outlook for getting back in to that market or maybe really leave it, but just give some color on what you want to accomplish in the energy sector here in 2017?
Tim Laney: Sure, I'll begin and then I'll turn to Rick. As a practical matter, we did meaningfully downsize our energy team we've maintained [technical difficulty] of what we consider to be and what's proven to be very strong energy businesses. And at this point I would tell you the attitude is to support those clients and their growth, and at this point to cautiously consider any additional growth. But let me turn it to Rick for, your thoughts, Rick?
Rick Newfield: Tim, I think you hit the tone dead on. The only thing I would add maybe to a comment I made earlier is that, these clients have been on the sidelines in terms of drilling activity if they're in the exploration and production space and are seeing potential to do some things in 2017. They are remaining cautious, but they've got the liquidity and the balance sheet and the availability to do some things in 2017. But I'd echo what Tim said, continue to cautious and selective in what we do.
Tim O'Brien: So not active in the market for new client there?
Rick Newfield: Certainly in conversations, but I would say relative to where we all might have been three or four years ago now.
Tim O'Brien: And then another question, thanks that great color. Another question is, maybe for Brian. With the December rate hike, did you guys have a good chunk of loans re-priced the day after or reset to a higher primary the day after, and if you did, if you can quantify what that dollar amount was, I'd love to know.
Brian Lilly: The answer is clearly yes. We've been -- it's been here for couple of years now over the 50%, 60% of our production on the commercial side, is in variable rate, resetting three months LIBOR that we've been checking out. Not a lot of proxy, we don’t pick up the full 25 bips, LIBOR moves a little bit differently, although directionally the same. We, you will see a benefit in our result, I guess I'd go back to the rate shock that I provided earlier, that 5 million to 6 million for a 100 basis points. When you get down to the granularity at just the quarter, as you know it moves interest income then it is a question as to what happens on the deposit side. Early indications are that the market and the industry is holding on the deposit sides. So we're going to see the interest income, the benefit of that interest income here in the first quarter, which could be wider than the guidance I gave for the shock. If you look at averaging the year, it is in the guidance that's provided for the net interest margin and the income.
Tim O'Brien: Fourth quarter was a good quarter for -- you know you saw some pretty good increases in some of those three-month LIBOR rate loans right, is that fair to say? I think we saw it at other banks.
Rick Newfield: Yes, we saw some moment there sure. And you saw in our -- kind of our non -- if you look at our margin analysis, the non 310-30 yield quarter-over-quarter picked up and that’s strictly attributed to that.
Tim O'Brien: Brian, do you happen to have kind of a dollar amount, aggregate number of loans that priced up in the quarter, LIBOR based loans that priced up in the quarter?
Brian Lilly: No, I don’t have that at my fingertips. Certainly, we have that in our outflow packages.
Tim O'Brien: It’s a great starting point to know that for conversations.
Brian Lilly: Okay.
Tim O'Brien: Going forward, but -- people can work off of that and better understand what your potential is for building your margin I guess? Another question that I have for you is, no branching plan or de novo plans here for 2017, probably right? It sounds like you're going to do a little bit of consolidation?
Brian Lilly: Tim, thank you for that question because it gives us the opportunity to talk about something we're really excited about. While we'll continue to look at consolidation of brick and mortar, one investment we're making this year that has already been launched is, and forgive me because I'll just simply say more detail is forth coming, but we have an opportunity to meaningfully expand our ATM distribution system here in the front range of Colorado. And in conjunction with that, I would say well, we're reducing our investment in brick and mortar. We are continuing to look at ways of efficiently enhancing our mobile capabilities and mobile access for our commercial and individual clients. So, as it relates to distribution the real focus is on the ATM network, the payback analysis we've done on that front is very exciting. We have the benefit of serving existing clients and then the [indiscernible] benefits are quite attractive as well. And again, I don’t think there is anything I could say to anyone on this line that would help you understand the importance of continuing to improve mobile act us we, I think we all get that. So great question Tim, short answer, continue to look at consolidating brick and mortar, expansion on mobile and ATM front.
Tim O'Brien: That's great color. How will you inform investors and also inform clients of this expansion and how they can take advantage of it I guess? In coming months or what is the timing for that, Tim?
Tim Laney: I suspect we'll be more than ready to discuss this at the end of the first quarter of earnings call. And of course, we'll be marketing and communicating the accessibility to our clients over the course of year as the distribution network unfolds.
Tim O'Brien: Thanks on answering my question, guys. Brain, I'd love a follow up if you can on that LIBOR number.
Brian Lilly: Sure, we will get it. Look I've got things drilled into my head, what works through is the purchase loans impact, what I would say, and I want to make sure I have the right number for you.
Operator: [Operator Instructions] The next question is from Kelly Mata from KBW.
Kelly Mata: I'm on for Chris McCrary. Most of my questions have been already asked and answered, but I guess in terms of margin I was wondering if you had a breakdown of the mix of variable versus fixed loans that you have, as well as what it's maybe been for originations this quarter? Thanks.
Brian Lilly: Kelly your first question is similar to Tim was just asking on the portfolio and mix, and so maybe I'll get back to Chris on that too. On the mix, we've been running and we did again this past quarter that 50% to 60% variable on our originations and that’s -- well you can imagine we've been saying that for a couple of year, so same on the originated portfolio, it's getting pretty darn close, in fact it is that on the originated. I just to factor in a purchase portfolio in that kind of thinking.
Tim Laney: Kelly, we'll continue to focus on delivering variable rates to our clients where it is possible. And then there is important to note, particularly in a right rising rate environment that we do work to provide clients fundamental interest rate swaps for protection. We think it protects our clients and the bank, it's just a real win-win. But that’s where we stand today and again we are always challenging ourselves to build an even larger variable portfolio.
Kelly Mata: On that point I thought the swap fees were a bit higher this quarter, going off of that, what is your outlook for the fees in the coming year with the expectation for rising rates?
Rick Newfield: Kelly, I think the way you look at that is, I'm glad you brought that up. We did pick up the 900,000 plus and that’s from the rate curve moving up. But if you look at it for the year it pretty well is flat. So we took some hits in the first and second quarter that got offset by a flat third quarter and then we picked it up. When we plan on a go forward basis we just assumed that the current rate curve, I guess the longer end of that is going to be where it is. So we didn’t bake any increases or decreases from that particular movement of the yield curve. But we do have planned our normal business with our clients that we will continue to realize -- or they'll continue to want to lock-in interest rate, we'll want the variable, so we enter into swap agreements which will generate income for us.
Tim Laney: I would simply add that, if we continue to see a rising interest rate market, I'll be surprised if we don’t over achieve our internal plan. I mean it's just having lived through enough of these cycles, clients get very interested in net interest rate protection in this environment. So again, it is a great question and I would say more to come, let's see what happens in the markets in the coming months.
Operator: Thank you. I am showing, we have no further questions at this time. I'll now turn the call back to Mr. Laney for his closing remarks.
Tim Laney: All right, thank you Mike and I will simply thank everyone again for joining us today. We look forward to continued conversations. Have a good day and a good weekend.
Operator: And this concludes today's conference call. If you would like to listen to the telephone replay of this call, it will be available beginning in approximately two hours and will run through February 10th, 2017 by dialing 855-859-2056 or 404-537-3406 and referencing the conference ID of 92242698. The earnings release and an online replay of this call will also be available on the Company's Web site on the Investor Relations page. Thank you very much and have a great day. You may now disconnect.